Operator: Good morning and welcome to Applied Digital's Fiscal Fourth Quarter and Full Year 2023 Conference Call. My name is Donna, and I'll be your operator today. Before this call, Applied Digital issued its financial results for the fiscal fourth quarter and full year ended May 31, 2023, in a press release, a copy of which will be furnished in a report on Form 8-K filed with the SEC and will be available in the Investor Relations section of the company's website. Joining us on today's call are Applied Digital's Chairman and CEO, Wes Cummins; and CFO, David Rench. Following their remarks, we will open the call for questions. Before we begin, Alex Kovtun from Gateway Group will make a brief introductory statement. Mr. Kovtun, please proceed.
Alex Kovtun: Great. Thank you, operator. Good morning, everyone, and welcome to Applied Digital's fiscal fourth quarter and full year 2023 conference call. Before management begins their formal remarks, we would like to remind everyone that some statements we're making today may be considered forward-looking statements under securities laws and involve a number of risks and uncertainties. As a result, we caution you that there are a number of factors, many of which are beyond our control, which could cause actual results and events to differ materially from those described in the forward-looking statements. For more detailed risks, uncertainties, and assumptions relating to our forward-looking statements, please see the disclosures in our earnings release and public filings made with the Securities and Exchange Commission. We disclaim any obligation or undertaking to update forward-looking statements to reflect circumstances or events that occur after the date the forward-looking statements are made, except as required by law. We will also discuss non-GAAP financial metrics and encourage you to read our disclosures and the reconciliation tables to applicable GAAP measures in our earnings release carefully as you consider these metrics. We refer you to our filings with the Securities and Exchange Commission for detailed disclosures and descriptions of our business, as well as uncertainties and other variable circumstances, including but not limited to risks and uncertainties identified under the caption Risk Factors and our Annual Report on Form 10-K. You may get Applied Digital's Securities and Exchange Commission filings for free by visiting the SEC website at www.sec.gov. I would also like to remind everyone that this call is being recorded and will be made available for replay via a link available in the Investor Relations section of Applied Digital's website. Now, I will turn the call over to Applied Digital's Chairman and CEO, Wes Cummins. Wes?
Wes Cummins: Thanks, Alex, and good morning, everyone. Thank you for joining our fiscal fourth quarter and full year 2023 conference call. I want to start by thanking our employees for their ongoing hard work and service in advancing our mission. Before turning the call over to our CFO, David Rench for a detailed review of our financial results, I'd like to touch on some recent developments across our business. I will also share why we remain confident about the future and our ability to deliver long-term growth. Over the last year, we've been working toward providing digital infrastructure solutions that provide differentiated services from traditional data centers. Demand for our services from both traditional customers and emerging HPC applications remains robust and we're excited about the year ahead. As we enter fiscal 2024, we're focused on three key strategic goals. First, we aim to have all three of our crypto hosting facilities fully online with high reliability and performance for our customers. Our 100-megawatt Jamestown facility continues to perform as expected and operated at full capacity with improved uptime throughout the quarter. We announced the initial energization of our 180-megawatt facility in Ellendale, North Dakota in March and today it's fully energized. This brings Applied Digital to 280 megawatts of hosting capacity across all our facilities in North Dakota, all of which are contracted out to customers on multi-year terms. The high-voltage interconnection work began last week at our Garden City site and is expected to finish this week. Energization is expected after completion and approval of the facilities extension agreement which is M&A. We expect these facilities to generate approximately $300 million in revenue and $100 million of EBITDA on an annualized basis. Having three facilities online with high uptime will provide us with a steady cash flow. This will aid in the capital needed to fund the build-out of our HPC datacenters, as well as the purchase of GPUs to service our AI cloud customers. The second goal is to expand our AI cloud service business to support the next wave of AI-powered applications. With the launch of this service, we can expand our offerings and capitalize on the unprecedented demand we're seeing from customers. We initially provide this service from our 9-megawatt HPC Jamestown facility along with third-party co-location space as we continue to execute on the development of our dedicated next-gen HPC datacenters. We continue to see extraordinary demand for our new Cloud Service offering. We recently announced two AI customers solidifying our position as a key player in the new Cloud Service provider landscape. During the quarter we announced the signing and successful onboarding of our first customer Character A.I., with an agreement worth up to $180 million over 24 months. This includes the activation of the first compute cluster. We anticipate the service to be fully ramped by the end of 2023. This customer has already executed their options for the full $180 million agreement and made a significant pre-payment. We've also signed an option agreement for an additional $180 million, which would bring the total value of the contract to $360 million if executed. We also secured our second AI cloud agreement in June, which is worth up to $460 million over 36 months. To help support these contracts and our go-forward capabilities, we have ordered over 26,000 GPUs and have secured the capacity to bring these online between now and April of next year. The GPUs will be financed through customer prepayments, vendor financing options, and other financing options that have been structured specifically for this market. To ensure seamless service delivery, we've collaborated with industry-leading OEMs such as Supermicro and Hewlett Packard Enterprise to leverage their HPC expertise and support the execution of our Cloud Service for AI-powered applications. Our services are made available to customers through two distinct models; reserve capacity and on-demand capacity. Under the reserve capacity model, customers pay a predetermined amount for the entire contracted duration of the GPU usage. This option provides stability and allows customers to reserve capacity in advance at a discount to on-demand capacity. For on-demand capacity, customers have more flexibility in terms of usage but pay higher rates. The typical customers for our AI Cloud Service or private VC-backed companies that have raised significant funding and will likely raise additional funding to help scale their AI applications. We tailor our agreements to these customers so that as they raise money they can exercise options embedded in the contract to deploy GPUs and to ramp up hosting capacity over time. Customers will typically make a pre-payment on the contract, which helps fund a significant portion of the purchase price of the GPUs. Pipeline of business opportunities for AI Cloud Service remains robust and we have significant opportunity in front of us. Our third priority is the development of our next-gen HPC datacenters. We are well-positioned for success in this space and believe our next-generation facilities are ideal hosting sites for HPC applications as they can accommodate the unique demands for this growing industry. Our datacenters offer a more purpose-built solution offering lower cost combined with high computing power compared to traditional datacenters that are typically focused on delivering low-latency applications. We have 300 megawatts of capacity and development, which represents an additional 100 megawatts of capacity to what we previously disclosed. This capacity pipeline does not include the current 9 megawatts of capacity we have at our standalone HPC facility in Jamestown, which was initially commissioned in May to begin supporting our AI Cloud Service customers. This facility will be brought online in phases over the next few months. The 300 megawatts of capacity includes 200 megawatts of capacity available in North Dakota and the new facility we plan to build in Utah. We have a significant customer lined up for our new HPC facility in North Dakota and are currently planning to break ground in the coming months. We will continue to target states that have favorable laws and regulations for HPC application industries. We believe this further minimizes the associated risks with scaling our operations. To finance the build-out of these facilities we're working with traditional datacenter lenders along with alternative funding options. I will now turn the call over to CFO, David Rench, to walk you through our financials and provide guidance for the upcoming 2024 fiscal year before providing my closing remarks. David?
David Rench: Thanks, Wes, and good morning, everyone. Revenues for the fiscal fourth quarter of 2023 were $22 million compared to $7.5 million for the fiscal fourth quarter of 2022. The results this quarter were attributable to our hosting operations in Jamestown, North Dakota, along with the increase in energized megawatts capacity of the Ellendale, North Dakota facility. The Jamestown site operated at full capacity throughout the quarter. Cost of revenue for the fiscal fourth quarter of 2023 was $16 million compared to $7.4 million for the fiscal quarter of 2022. The increase in the cost was attributable to the higher energy cost used to generate hosting revenues, depreciation and amortization expense and personnel expenses for employees, directly working in - at our Jamestown in Ellendale hosting facilities. Adjusted gross profit for the non-GAAP measure that excludes depreciation embedded in the cost of revenue and one-time electricity charges was $7.8 million or approximately 36% of revenue for the fiscal fourth quarter of 2023 which would compare to adjusted gross profit of $1.1 million or 15% of revenue for the fiscal fourth quarter of 2022. Operating expenses for the fiscal fourth quarter of 2023 were $12.3 million which included $5.2 million of stock-based compensation, $6.2 million in general and administrative costs, and $0.9 million of depreciation and amortization expenses. For the year ago comparable period, operating expenses were $4.4 million almost of all of which were attributable to general and administrative costs. Net loss attributable to Applied Digital for the fiscal fourth quarter of 2023 was a loss of $6.5 million or a loss of $0.07 per basic and diluted share based on a weighted average share count during the quarter of approximately $95.1 million. This compares to a loss of $2.8 million, or loss of $0.04 per basic and diluted share in the fiscal fourth quarter of 2022, based on a weighted average share count during the quarter of approximately $76.6 million. Adjusted net loss attributable to Applied Digital, a non-GAAP measure for the fiscal fourth quarter of 2023 was a loss of approximately $300,000, or a loss of less than a penny per basic and diluted share based on a weighted average share count during the quarter of approximately $95.1 million. This compares to an adjusted net loss attributable to Applied Digital of $1.4 million or a loss of $0.02 per basic and diluted share for the fiscal fourth quarter of 2022 based on a weighted average share count during the quarter of approximately $76.6 million. Adjusted EBITDA, a non-GAAP measure for the fiscal fourth quarter of 2023 was $2.9 million compared to an adjusted EBITDA loss of $3.1 million for the fiscal fourth quarter of 2022. Lastly, on the balance sheet, we ended the fiscal year with $29 million in unrestricted cash and cash equivalents in $79.4 million in debt. During the fiscal fourth quarter of 2023, we received approximately $1.1 million in net deferred revenue due to the structure of our commercial agreements with our customers that incorporate pre-payments In certain contracts, the pre-payments are amortized back to the customers over the first year of the contract with no impact to revenue recognition but the timing of the cash flow with the upfront cash to us. This is a major benefit to the company and that it helps with our CapEx funding as we build our datacenters. Now turning to guidance for the full fiscal year 2024, we expect revenue in the range of $385 million to $405 million and adjusted EBITDA in the range of $195 million to $205 million. That completes my financial summary. Now, I will turn the call over to Wes, for closing remarks.
Wes Cummins: Thank you, David. To add some detail around the guidance, we expect revenue to ramp significantly in every quarter with our fiscal fourth quarter approaching $150 million of revenue. We ended the fiscal year with significant momentum. We successfully energized our Ellendale facility and launched our AI Cloud Service to provide high-performance computing power for AI applications. We've been advancing our existing crypto hosting operations, while simultaneously expanding our offerings to further capitalize on the surging demand we're seeing from customers for our services. As we look to the year ahead even amidst the dynamic and complex macro environment, it's increasingly clear that the secular tailwinds of digital transformation remain strong and we're well-positioned to capitalize on strong demand for both crypto and non-crypto customers for our services. We're now happy to take questions. Operator?
Operator: [Operator Instructions] Today's first question is coming from George Sutton of Craig-Hallum. Please go ahead.
George Sutton: Thank you, and congratulations on the great results and great outlook. So I'm curious if you could walk through what you mean by the pipeline being robust and just provide a little more detail relative to the 26,000 GPUs that you've discussed relative to NVIDIA. Can you just walk through sort of how those will lay out over the next couple of years?
David Rench: Yes. Hi, George. So the 26,000 GPUs, so we have - those on order, actually we've increased that order recently. But we have those on order and as we said, the expectation is those deploy through April. We've already secured both our own facilities and third-party colo facility to deploy that, and that's kind of what we think the delivery schedule is from NVIDIA as well. So we have that locked in, and then from a customer standpoint, as we mentioned Character has doubled their option on their contract. So we think just with the metrics, they're seeing, I'm really optimistic about the demand from that customer, and then our other customer our second customer starts to ramp up later this year, that will - those two combined, I think will take the majority of the 26,000 if that potentially more than that, but then we have, I think we shared back in June kind of the customer pipeline, which didn't include either one of those that we still are working on some of those contracts that can close over the next couple of weeks.
George Sutton: As a follow-up on the competitive landscape, just so we better understand, when we're talking about reserve capacity deals and large language model training, what other options do these new players have relative to your kind of low-cost power options?
Wes Cummins: So, you mean, the other type of cloud options?
George Sutton: So for customers three, four, five, six, seven, et cetera, who are looking to run these large language models.
Wes Cummins: Yes.
George Sutton: But don't require ultra-low latency, what other options are there?
Wes Cummins: So there's other companies that are doing this, that are doing what we're doing. It's kind of the - it's kind of a new class of CSPs, that NVIDIA is invested in some of these, and so we - it's a competitive process for us every time. That's the primary competition for us.
George Sutton: Thanks, guys.
Operator: Thank you. The next question is coming from Lucas Pipes of B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much, operator. Good morning, everyone. Wes, I wanted to follow-up on the other financing solutions that you mentioned in your prepared remarks, specifically for AI. I wondered if you could share some of the typical terms such as loan to value, amortization, schedules, borrowing costs, et cetera. Thank you very much for any color.
Wes Cummins: Sure. So the - it's wide range. So you get typical vendor financing, right? So from the OEMs that are - we have terms from HPE, we've actually have terms from Dell and from Supermicro, so there's typical vendor financing and then there is another company that does the same style of vendor financing. In those terms, with the one that we have used - will use already is kind of a 24-months term and it's fairly reasonable rates, high single digits on those. Then there's other options, the LPVs on that, Lucas, can be anywhere from 50% to, call it, 75%. And the GPUs, I think we've mentioned this previously on the purchase price of the GPU we recoup in the first 24 months of operating. So kind of the financing lining up with that, that number works fairly well. We're seeing other options that are more low double-digit kind of low-teens financing. It's specialized specifically for this market, seeing those anywhere from 50% to 90% LTVs, and the payback schedule is much less aggressive, I would say on those, maybe four-year to five-year type terms. We haven't used to that yet, but it's an option out there for us. But we were seeing quite a few different financing options. Then, some, like I said, fairly attractive rates.
Lucas Pipes: I really appreciate that detail. That's very helpful. For my second question, I wanted to touch on the guidance. Very helpful, thank you. I appreciate the detail. I wondered if you could maybe share the breakdown of BTC hosting and AI and HPC respectively that would be embedded in that calendar year - sorry, fiscal year guidance. Thank you.
Wes Cummins: Yes. I actually, I don't have that - I don't think we plan to share that, Lucas. But, we will in the future as that ramps up.
Lucas Pipes: All right. I appreciate it. Thanks again and continued best of luck.
Wes Cummins: Great. Thanks.
Operator: Thank you. The next question is coming from John Todaro of Needham & Co. Please go ahead.
John Todaro: Great. Thanks for taking my question and congrats on the guide here. How many megawatts do you envision you're going to need to fulfill the $180 million that initial contract with Character A.I. and then the second one with that other AI provider? And then on that the third-party colo capacity you're using, is it already secured, and for how much of those contracts is that are you secured for?
Wes Cummins: Yes. So, the - what I mentioned in the script, I believe, was that for the 26,000 GPUs between our own facilities and the third-party colo that we have secured, so, we have space for all of those. And just for reference, John, so the first - so I'll just say that the 5,000 GPUs takes about 7.5 megawatts of IT capacity. So, depending on which type of colo and what the PUE is in that colo, you know, you can multiply into what the full amount of power you need. But for IT capacity, it will take 7.5 megawatts for the 5,000 - or for 5,000 GPUs.
John Todaro: Got it. And then, as we think about the margin profile over time, how would it change when you're using a third-party colo provider versus your own site such as the 9-megawatts at the Jamestown?
Wes Cummins: Yes. Sure. So, we have a slide that we actually use at your conference that breaks down the three businesses, and the margin, you know, we expect an op margin or an EBIT margin for the cloud piece of approximately 40%, and that is in third-party colo. And so when you think about it in our own facility, what you should think about is stacking our HPC margins, so, we outlined, plus the AI cloud margin.
John Todaro: Okay. That's helpful. Thanks, guys. I really appreciate it.
Wes Cummins: Yes.
Operator: Thank you. The next question is coming from Mike Grondahl of Northland Securities. Please go ahead.
Mike Grondahl: Hi, guys. First question, just, you guys mentioned that the first customer the original $180 million is you're working towards and they signed an option for a second $180 million. Could you explain that second $180 million a little more? Does that sort of point to year three and four or does that point to a two-year contract starting nearer term and not really the terms?
Wes Cummins: Yes, no, it's not extending the term, it's pointing to additional GPUs. So, the doubling of the number of GPUs.
Mike Grondahl: Got it. And then, earlier you guys were asked a little bit to bifurcate the guidance, the $385 million to $405 million. I think before we kind of updated models, we sort of - we're in a rough range of about $300 million for the BTC hosting business. Are you still ramping towards that - if we were just to think about it roughly, is that about the level you think you can do in BTC hosting in '24, or is that sort of been scaled back a little bit?
Wes Cummins: No, it's scaled back just from the simple fact that Texas isn't on yet. And so we're going to miss two months of Texas running and then there'll be some ramp time for Texas that we've talked about it coming online faster generally it been - because the construction is complete there, but there will be some ramp time. So [technical difficulty] annualized when they're fully operational at $300 million. And so obviously we've already missed the June and July month for that facility. And then maybe if you think about the AIPs, I didn't give this to George, and I'm happy to give some color to this, but if you think about the AI compute side, we'll get a few million of revenue because we have the first piece, you know, came online in July for Character and so you get the month of August, our first quarter, you should be thinking of a couple of million of revenue there. And then as we deploy more with them that will ramp and then as we make all the deployments up to the 26,000 you'll see that ramp through the April timeframe. And so if you think of a few million in the first quarter and then you think about the datacenter portion being that $300 million a year $75 million a quarter is, it gives you a pretty good idea if you're exiting at 150 kind of where that - where the AI cloud portion would be.
Mike Grondahl: Clear. Yes. That's helpful. And then how do we - your partnerships with SMCI and Hewlett Packard, what are sort of the one or two things you gain the most from those partnerships? Is it basically sort of the OEM pipeline that they have? What - just help us understand that.
Wes Cummins: Yes. So we get a couple of things, obviously, getting delivery of these servers is fairly difficult right now, so getting kind of prioritizing, getting delivery. But then the expertise, they all bring, I mean, Supermicro has been one of the largest manufacturers and shippers of this style of compute for a long time and so their business saw them pre-announced recently is ramping really well. But they have a lot of expertise as far as racking shipping, they have full solutions, they have tax come help setup tune these, you know, get everything operational, HP does the same thing. So there's a lot of expertise from that, but there is a pipeline that they - the customers come to them and that they can bring to us that's the way really we found our - a lot of our pipeline. So that the biggest places we're finding it is OEMs bringing customers to us. We have one other - another place that we find these customers, and then the venture capitalists that have introduced the ones that they've - they are invested in several of these companies. They have introduced us into other of their portfolio companies after the - us kind of onboarding our first customer fairly quickly, I mean, I - wasn't all, like, perfectly smooth, but I think we did that in a really short timeframe and fast time frame and everyone's happy with that. And so we've been introduced into their other portfolio companies. So that's kind of how we get that pipeline. But OEMs bring mostly those two things to the table, a lot of expertise.
Mike Grondahl: Great. Hey, thanks, guys.
Wes Cummins: Yes.
Operator: [Operator Instructions] The next question is coming from Kevin Dede of H.C. Wainwright. Please go ahead.
Kevin Dede: Good morning, Wes. Hi, David. Thanks for taking my question. I was - yes, I was wondering, I apologize if I sort of missed the boat on this one, but could you peel the onion back a little bit on the contracts themselves. I'm wondering, like, with Character A.I. for instance as an exclusive binding, is there any penalty for termination - early termination on either side?
Wes Cummins: It's a standard contract. So we've walked through kind of how these - they're structured and the first customer has - it's these option periods and the first customers executed the options so we have the full contract for the $180 million. It's a non-cancelable contract except for kind of standard contract terms if we fail to perform on the contract, but other than that, it's standard - it's not exclusive for either one of us. It doesn't, obviously, doesn't preclude us from doing business with anyone else and it doesn't stop any - our customers from going and getting compute power elsewhere, but that's the basic structure.
Kevin Dede: Well, reserve capacity sort of implies, Wes, and I apologize I read too much in this, but it implies that you're providing capacity as a second-tier supplier. Is that not right way - 
Wes Cummins: No. So there's two models in this market, if you go and look at just the vernacular for the market. Reserve capacity means that the customer has reserved for that capacity exclusively from themselves, don't think of it as like the reserves the Coast Guards or the Air National Guard reserves, right? It's not - don't think of it is that. They've reserved the capacity exclusively for themselves, and so, think of it as a take-or-pay contract. So they have to pay for it, whether they're using it or not. And then as you move over the other model in this space is on demand, so people just pay for usage. And so if they use an hour, they use several thousand hours, they just pay for the hours they use. The on-demand market, the pricing is at a - call it, a 30% premium. That's not exactly that number, but a premium to the reserve capacity market because when you're in the on-demand market, obviously, you have the risk as an operator of not having all of your capacity utilized. But the reserve contracts on - for our side are much safer because it's basically take-or-pay guaranteed for the length of the contract. And generally, what we're doing is signing contracts with the borrowers especially the first that pay us back for the equipment purchases in the life of the contract. So it's doesn't leave us thinking out. And then - so I think on the first one, we have two years on the contract and then we should have three to four years of useful life on the H100s maybe the innovation cycle leads up significantly, but the NVIDIA introduced the A100, I believe, in 2019. And if you have A100s operating now, you can still book those for pretty attractive rates. So that's kind of the life cycle of those.
Kevin Dede: Well, thanks Wes. Appreciate the color. Can you, I guess, dive a little bit deeper on exactly how much colo power you're penciling in and maybe an idea sort of on the spreads there, what you're paying for power. And then I guess, what you are charging your customers in sort of rough terms?
Wes Cummins: So which segment are you talking about, Kevin, are you talking about our HPC data center side?
Kevin Dede: Yes. Because I understand what you said, right? You said 7.5 megawatts for 5,000 GPUs, I got that. I guess, sort of assuming that your 9-megawatts at Jamestown is fully booked. So - and I know that to meet initial customer demand, you're going to - and have secured colo. I just like a little bit more of how you're seeing that play out.
Wes Cummins: Yes. So think of the colo portion of our business. So like the Jamestown facility, the other facilities that are in development, it looks on this one, so Bitcoin Hosting was marketed in a certain way, which was basically just an all-in power price. And the HPC colo will look more -- it will look exactly like the contracts you would see from a Digital Realty or an Equinix or a switch or someone of that nature, where there's a fixed rate, generally something like $100 per month, depending on where you are. So somewhere between $100 and $130 per month per kilowatt hour, that you use. And then - so that's the fixed monthly rate and then you do power pass-through to the customer just at cost. So it's a little bit different billing model. It's a standard data center building model, but different than what we did on the bitcoin facilities.
Kevin Dede: Okay. Okay. Last question for me, and I'll hop back in the queue, sorry, Wes. Can you give us a view as to what the balance sheet might look like now versus the end of May?
Wes Cummins: David, do you have the update on the balance sheet now?
David Rench: Can you repeat the question?
Kevin Dede: Yes. Sorry, David. I caught you off guard. I was just wondering if you could intimate what the changes of the balance sheet might look like as of sort of end of July versus the end of May?
David Rench: Yes. So cash balances went up during that period, if that's what you're - we received the prepayment from Character and continue to build the cash balances.
Kevin Dede: I guess I was a little more curious about the financing side.
David Rench: So we will also have a sub event that we paid off the most recent loan that we've taken. So our loan balances will help also decreased.
Kevin Dede: Perfect. Thanks. Sorry to chop David.
Wes Cummins: That will be in the K, Kevin.
Kevin Dede: Perfect. Perfect. Okay. I appreciate that. Sorry for pushing [indiscernible]. Appreciate you taking the questions.
Wes Cummins: Thanks Kevin.
Operator: Thank you. The next question is coming from Lucas Pipes of B. Riley Securities. Please proceed with your follow-up question.
Lucas Pipes: Thank you very much for taking my follow-up. And Wes and David, it's about the sequence or cadence of cash flow. So when you place an order, how do we think about kind of cash coming in, cash going out? Is it the moment that you place the order, it's essentially paid for through a combination of prepayments and other financing? Or is there maybe a staggered payment plan? I would just appreciate your color on that. Thank you very much.
Wes Cummins: Yes. Lucas, so we're getting - I would say we're getting in a better and better position with that. So the first one, because we're relatively unknown, we paid upon order, and then we get the prepayment after it was deployed in the future from that vendor, we get certain not 30 day terms. So we should be able to deploy, get the prepayment, make the payment to the vendor instead of make the payment deploy and get the prepayment, if that makes sense.
Lucas Pipes: That is helpful. And the financing when does that come in within that 30-day period.
Wes Cummins: The financing typically comes in as we take delivery.
Lucas Pipes: Got it. And delivery would be when in that sequence?
Wes Cummins: Again, it wouldn't be set up. So if you take delivery at either our facility or another colo facility, financing kicks in for that - for the payment on the financing, and then it will take us one or two weeks to typically set these up and get them turned on and then you get prepayment. So your financing happens before the prepayment and typically before we pay the - well, in the future, we'll pay the vendor.
Lucas Pipes: Okay. That's very helpful. And maybe just to follow-up on that for the order of the 26,000, is there a way to break that down between what is fully paid for versus where there still that sequence playing out as you just outlined.
Wes Cummins: So the way that is we have 1,000 that we've turned on and then we'll take delivery of another significant number in late August in the neighborhood of 4,000 to 5,000, and we just keep taking delivery all the way through April.
Lucas Pipes: Got it.
Wes Cummins: So if you look in our financials, like reflected at the end of the quarter was - we had made - I believe we had made payment. David, you have to correct me if I'm wrong, but you won't see any of the - I don't think you'll see any of the assets show up on the balance sheet as of the end of the fiscal year.
David Rench: That's correct.
Lucas Pipes: Wes and David, really appreciate -- 
Wes Cummins: June event, yes.
Lucas Pipes: So I guess we'd see that in new fiscal first quarter for the August quarter.
Wes Cummins: Yes, for the August quarter.
Lucas Pipes: All right. Thank you very much, gentlemen.
Operator: [Operator Instructions] We're showing no questions in queue at this time. I'd like to turn the floor back over to Mr. Cummins for closing comments.
Wes Cummins: Thanks, everyone, for joining us for the call. And again, thanks to all of our employees, everyone has been working extremely hard to make it happen, and we'll speak with you in October. Thanks.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect your lines or log off the webcast at this time, and enjoy the rest of your day.